Operator: Good morning, everyone and welcome to the Shenandoah Telecommunications First Quarter 2015 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Adele Skolits, CFO. Please go ahead ma’am.
Adele Skolits: Good morning and thank you for joining us. The purpose of today’s call is to review Shentel’s results for the quarter ended March 31, 2015. Our results were announced in a press release distributed this morning and the presentation we’ll be reviewing is included on the Investor page of our website at www.shentel.com. An audio replay of the call will be made available later today. The details were set forth in the press release announcing this call. With us on the call today are Christopher French, our President and Chief Executive Officer, and Earle MacKenzie, our Executive Vice President and Chief Operating Officer. After our prepared remarks, we’ll conduct a question-and-answer session. As always, let me refer you to slide two of the presentation which contains our Safe Harbor disclaimer and remind you that this conference call may include forward-looking statements subject to certain risks and uncertainties. These may cause our actual results to differ materially from these statements. Shentel provides a detailed discussion of various risk factors in our SEC filings, which you’re strongly encouraged to review. You’re cautioned not to place undue reliance on these forward-looking statements. Except as required by law, we undertake no obligation to publicly update or revise any forward-looking statement. Also, in an effort to provide useful information to investors, we note on slide three that our comments today include non-GAAP financial measures. Details on these measures, including why we use them and reconciliations to the most comparable GAAP measures, are included in our SEC filings. These reconciliations are also provided in an appendix to today’s slide presentation. I’ll turn the call over to Chris now.
Chris French: Thank you, Adele. We appreciate everyone joining us this morning. We had a really great 2015 first quarter and I am pleased to have this opportunity to provide details about the company’s continued growth. On slide 5, you will see the first quarter net income of $10.3 million, an increase of more than 19% compared to the prior year attributable primarily to continued growth in the Wireless and Cables segment. Adjusted Operating Income before Depreciation and Amortization or OIBDA for the quarter increased more than 12% to $35.7 million. Revenues were $84.3 million in the first quarter, an increase of almost 5% from the prior year period. Increased revenues in the wireless segment were result of wireless subscriber growth partially offset by lower revenue service plans associated with handset financing and leasing plans. Our Cable segment revenues also improved as a result of an increase in the total number of Revenue Generating Units or RGU and customer selecting higher-priced digital TV services and higher-speed data access packages. Our Wireless highlights are shown on slide 6. We experienced solid growth in this segment with increased customers for our post and prepaid offerings. As a result of our upgraded network leveraging Sprint’s national marketing along with our regional advertising and providing high-quality local customer service. Postpaid customers grew about 5.8% compared to the prior year and prepaid customers by 6.7%. Operating income for the quarter grew almost 16%, when compared to the first quarter of 2014. Turn to slide 7, our Cable segment also delivered strong growth as demand for our higher-speed internet and voice services outpaced the anticipated decrease in video subscribers. Operating revenues increased almost 14% to $23.3 million, while Cable Adjusted OIBDA grew 33% to $5.1 million. Solid growth in RGUs of over 6% drove this increase. As you can see, we are making steady progress, increasing the margins on our cable business, which now reaches 18%. We expect to continue to improve the margins through better penetration selling more services for customer and the shift in the mix of services we sell from the lower margin video service to the higher margin internet and voice services. Other highlights worth noting can be found on slide 8. Our Fiber lease revenues declined slightly to $8 million and a 154 towers generated $1.7 million OIBDA from lease revenue down slightly compared to last year’s first quarter. Fiber revenues for both periods were impacted by one-time adjustments. The decline of tower revenues was due primarily to decommissioning of add in leases during 2014. We are pleased to have delivered steady new growth and improved profitability in the first quarter. Our upgraded networks are offering the enhanced coverage and high quality service to the customers demand and as a result we are also attracting new customers who are subscribing to additional offerings. As we reviewed in previous calls with the system upgrades completed, our capital expenditures have come down resulting in higher free cash flow. We continue to evaluate our alternatives for putting our cash to work these include and order priority, strategic acquisition opportunities in both the wireless and cable markets, returning capital to shareholders by increasing our dividends or further reducing some of our debts, given our relatively small flow we continue to believe that share repurchase not an option that we think make sense for us. I’ll now turn the call back to Adele to review the details of our financial results.
Adele Skolits: Thank you, Chris. I’ll begin my remarks with slide 10, which summarizes our Q1 2015 results. If you can see, all of our key financial metrics rose substantially in Q1 2015 over Q1 2014 with operating income of 18%, net income and basic Earnings per Share or EPS up 19% and diluted EPS up 17%. On slide 11, I’ve shown the calculation of adjusted OIBDA. Here you can see that adjusted OIBDA grew by nearly $4 million or 13%. Depreciation grew by nearly $1 million in Q1 2015 over Q1 2014 as a result primarily of the incremental depreciation on network enhancements require to meet the growing data needs for customers, while the total share value of the stock awarded in Q1 2015 was up over Q1 2014, the incremental share based compensation expense dropped, this drop resulted from a portion of the awards coming in the form of relative total shareholder return performance based compensation. These awards vest evenly over three year term, whereas most of our historical awards vested on a more accelerated basis. Finally, the impact of the disposal of assets was negligible in Q1 2015. Slide 12, shows our growth in adjusted OIBDA by segment. Cable led the way with a 33% improvement, followed by the wireless segment with a 15% increase. The cable improvements are consistent with longer term trends as Chris mentioned earlier. On slide 13, I’ve analyzed the changes in adjusted wireless OIBDA results Q1 2015 and Q1 2014. Postpaid handset and customer acquisition cost are down by $3.5 million. As Earle will discuss in greater detail in a moment, the shift to leasing and equipment installment billing to finance headsets drove this decrease. And a related shift in postpaid service pricing, the postpaid billing rates are down 6% during this period. So while average customers grew by 5.5% net postpaid service revenues grew by just $200,000. Prepaid revenues grew by $900,000 related primarily to growth in the average prepaid customers of 6.3% and a 2.1% increase in the average monthly billing rate to each customer. Increases in the rate Sprint’s charges up to support prepaid customers, in addition to the increase in the customer base to over $1.1 million increase in prepaid support costs. On slide 14, I’ve shown the components of the changes to adjusted cable segment OIBDA. The positive changes include significant growth in high-speed data revenues, which grew by $2.4 million as a result of an 11.4% increase in average high-speed data customers. In addition, video revenues grew by $800,000, primarily as a result of the price increase, which we implemented in January to offset the increases in the video content provider’s rate, the average number of video customers actually dropped by 1.9% during this time period, consistent with industry trends. Voice revenues are up by $400,000 as a result of a 21.4% increase in those customers. Bundling and services to remote customer growth resulted in a $1 million increase in discounts and promotions. The increases in content provider’s rate drove $1.3 million increase in programming cost. At this time, I’ll turn the call over to Earle to go into greater depth on some of the operating factors driving our results.
Earle MacKenzie: Thank, Adele, good morning everyone. Starting on slide 15, we ended the first quarter with 291,078 postpaid users and 438,861 total users were our Penetration rate of approximately 20% of covered pops. 80% of our postpaid users have a smartphone, 94% of our postpaid smartphones have LTE capabilities and 49% of the postpaid smartphones have spot capabilities, all our concerning efforts have paid off as only about 2% of our customer still have a 4G Wimax owned. Moving to slide 17, net postpaid adds were 3,211 for the first quarter, Q1 net adds were up substantially from the 1,304 in the same quarter last year, postpaid growth adds were 17,105 for the quarter compared to 15,585 in 2014. First quarter churn was 1.6% compared to 1.7% last year and 1.9% in the fourth quarter. So let me give you some additional first quarter 2015 stats. Our port-in ratio was a positive 1.7 to 1. Smartphones represented 59% of net adds. The tablets and connected devices at 41%. As of March 31, tablets represented 4.7% of our postpaid base. 42% of our gross adds took traditional subsidized phone plans. 35% selected installment sales and 23% leased their phones. As of the end of the first quarter, over 79% of our postpaid base is still on a subsidized rate plan. Upgrades in the quarter were higher than our historical level at just over 8%, but lower than the 12% upgrade we had in the fourth quarter. 28% of our upgrades came through Shentel stores. The breakdown of Q1 upgrade is 52% selective of subsidized phone, 17% installment sales and 31% all these. The Cut Your Bill in Half promotion continues to help get prospects in the door with store traffic up about 5% year-over-year, but only about 6% of the Q1 growth adds select with the Cut Your Bill in Half service option. Customers leasing or buying their phone and promotions continue to impact our gross billed service revenue for postpaid user shown on slide 18. First quarter gross billed revenue was $61.06, a reduction of $3.87 from the same quarter last year and down a $1.68 from the fourth quarter. As a reminder, when any of our customers purchase their phone on lease or installment, the equipment revenue and cost of goods sold are recorded on Sprint’s financials. Our equipment revenue only includes the amount we collect for phones from customer staying on subsidized rate plan and accessory sales. The reconciliation of gross billed postpaid revenue to net postpaid service revenue recorded on our financials is shown on slide 19. Total postpaid billed service revenue was down less than 1% to $53 million from the first quarter last year and net was up about 1%. The increase in net was a result of lower discounts in credits in 2015. You see a prepaid stats on slide 20. We had higher prepaid growth adds in Q1 at 236,000 and net 2,621 compared to 192,000 growth and a net of 1,490 last year. Within the net gain, we saw a significant increase in Boost customers with a decline in Virgin Mobile and Assurance. We ended the quarter with 147,783 prepaid users, an increase of 6.7% from a year ago. At the end of the first quarter, 74% of our prepaid users have smartphone, with 23% of the prepaid smartphones having LTE capabilities. On slide 21, you see that prepaid churn was higher at 4.8%, reflecting the shift in the prepaid base to Boost from Virgin Mobile and Assurance. Average gross billed revenue was $28.51, even with the price reduction in Boost during 2014, the shift of Boost mobile being a larger percentage of our prepaid base resulted in higher prepaid gross billed revenue. Before we move to Cable, let me share some network stats on slide 22. We have 542 sites, 95% of the sites have 800 megahertz LTE service, 126 sites have a second 1,900 megahertz LTE carrier. We’ve been able to harvest 10 megahertz of our original 30 for LTE and will continue to deploy the second 1,900 LTE carrier as need growth. 84% of all of our data traffic is on LTE, with 35% of the LTE traffic on 800 megahertz. Average speeds are approximately 5 megahertz. Data usage grew by 15% in the first quarter, with LTE up 19% and EVDO down approximately 5%. The average customer use approximately 3.8 gigabytes per month in the first quarter. We have 800 megahertz voice service on 95% of our cell sites approximately 28% of the voice traffic is on 800. Voice usage decreased slightly in the first quarter. Drop calls were at 0.6% and blocked calls at 0.4%. We have our fiber built to 194 cell sites, 152 Shentel’s sites and 42 for others, with 22 additional sites under construction and 11 in engineering. Now on to our Cable results on slide 23, we had 2,299 net RGUs in the first quarter for a total 124,015. We added 1,836 new data users, 850 new voice users and we’ll have 387 video users. We added 894 net new customers now totaling 72,192 buying on average 1.72 RGUs each. During the first quarter 2015 we crossed over and have more data users than video users. Average monthly revenue per RGU and per customer is shown on slide 24. Average monthly bill per RGU increased $3.52 to $59.72 driven by our video price increase in January and an increase of over $6 in data ARPU due primarily to customer’s purchasing higher data speed options. In reference to our video price increase, we’ve made the decision to pass on a 100% of all video cost increases and we’ll no longer continue to subsidize video with our data and voice margins, even with the healthy [ph] video price increase in January, our video losses were minimal. The first quarter 2015 average monthly revenue per customer grew $9.96 from $92.24 in the first quarter of 2014 to over a $100 for the first-time at a $102.20 that’s up $5.42 from the fourth quarter of 2014. Slide 25, shows the change in Homes Passed RGUs and penetration by service between the first quarters of 2014 and 2015. We’ve added over 1,300 additional Homes Passed, added 7,423 additional net RGUs and 1,522 net new customer relationships. We’ve added 5,127 net data RGUs to push our penetration to almost 31%. We added 3,313 voice RGUs exceeding a 11% penetration and lost 1,017 video RGUs. We continue to significantly increase our digital penetration as we convert our 750 and 860 systems to all digital. That project will be completed this year. Just as a reminder, we expect our traditional drop in RGUs in the second quarter as our college student customers will be going home for this summer. Our Wireline segment continues to be very stable. On slide 26, we ended the quarter with 21,669 access lines we continue slow, but steady DSL growth ending the quarter with 12,825 DSL users. As you recall, we don’t count our video only cable customers that we served in our regulated phone service area in our cables stats. Slide 27, shows our fiber lease revenue recorded in our wireline segment broken down between affiliate and non-affiliate. The reduction is a result of revenue adjustments recorded in both periods. On the right side in the first quarter of 2015, we signed $4.8 million in new non-affiliated fiber contracts compared to $2.8 million in 2014. Revenues were recorded based on which segment the underlying fiber asset resides. Our last slide is slide 28, we’ve not changed this slide from our year end call. We’re still on track to spend over $74 million in 2015 broken down as shown, with Spark starting to be deployed in the second half of 2015. I’ll now turn the call back to Adele.
Adele Skolits: This concludes our prepared remarks. Amanda, would you now review the instructions for posing a question?
Q - Ric Prentiss: Thanks, good morning.
Chris French: Good morning.
Adele Skolits: Good morning.
Ric Prentiss: Hey. First, Earle, I want to start with the Spark project, you’ve mentioned how the deployment will start in the second half of this year and that like 49% of your smartphones on postpaid are already enabled with that, as you think about that projects, I think in the past we’ve heard 150,000 to 175,000 per site as you’re doing that, what’s involved in that process, when you compared to the Vision project that was a [Indiscernible] replace?
Earle MacKenzie: Well, because we could vision, the deployment of 2.5 is going to be relatively simple, I never want to say simple, because nothing ever it is, but we will be just adding a 2.5 carrier card into the base station and the base stations are all set up to able to take that card and we will have to put an additional set of antennas on the tower, because the antennas that we put on the tower were a combination 800, 1900 antenna, so we already have been working through and then working for well over a year with the tower sites that we has designated as being high traffic and have most of the agreements done at this point, we’ve all the work for the, once we’re going to deploy this year and a lot of the work done for, once we’re going to deploy next year, so the amount of work will be relatively small, obviously, we will require climbing the tower, but not nearly the effort that was done for network addition [ph].
Ric Prentiss: And will there also be a separate radio at the 2,500 to the top of the tower?
Earle MacKenzie: Yes, there will be a separate radio head.
Ric Prentiss: Okay, and at the towers still last week there was a lot of discussion about small cells, are you anticipating any small cell deployments in the markets where you’re going to roll out the Spark project?
Earle MacKenzie: We actually have done, kind of taken two different approaches, one, we think the best use of small scale it was actually in building, and we’ve deployed them in a number of buildings and malls and we getting very good results from that. We did do one exterior, our outside deployment in Hagerstown and just because of the density of our markets we didn’t really get the bank of the box on that deployment. And so at this point, our plan is to use the small sales in building and in areas like stadiums or that sort of thing that there would be a lot of focus in a very small geographic area, but because of our density the outside ones on pulls really has not given us the results that we had hoped. It makes sense.
Ric Prentiss: Where do you think the breakpoint is for the density to where our small sale would make sense, and what was the Hagerstown density that you tried to have?
Earle MacKenzie: We don’t think that even Harrisburg which is our most dense market, as far as population made sense. In Hagerstown where we have penetration about 35% penetration, obviously we have a lot of users and this is a city of 100,000 people. And so that’s pretty down, but still you don’t the high rise office buildings, you don’t have the density of residential on business users that you would have in a top 50 study. And so we really don’t believe we have in the application where the exterior small sales make a lot of sense.
Ric Prentiss: And then an operational question. Churn was down nicely in the quarter, but gross adds are little lighter than we were looking for. Can you kind of frame what was happening with the churn and that continue and what are the things going on with the gross adds?
Earle MacKenzie: Well I think that just in the entire industry we saw kind of a slower quarter for people looking to change. We had such a high activity in the fourth quarter reflected also by our upgrade. I think upgrade was kind of an indication of people out looking for potentially changing. We did have very good port-in 1.7 to 1, but we had better traffic than we had a year ago. So we really weren’t disappointed with our gross adds, they were pretty much in line with what we expected for the quarter. And churn, there was just less promotion going on in the marketplace currently. We’ve really have not as I’ve said before, we’re really not impacted terribly by T-Mobile and both Verizon and AT&T pullback in the first quarter, which gave us a nice churn number.
Ric Prentiss: Great, thanks Earle.
Earle MacKenzie: Thanks. You’re welcome.
Operator: Our next question comes from Barry Sine with Drexel Hamilton. Your line is now open.
Barry Sine: Good morning, folks. I wanted to better understand, I think there was a comment you’ve talked about store traffic was up about 5% versus a year ago period, what was driving people into the stores and specifically, I want to ask about the Sprint, how do you bill and have promotion kind of interesting that seems to be a big traffic driver, but then when they come into the stores, it has - you don’t really sell them that you had to tell them something else which sounds a little bit remarkable [ph]. What was overall promo activity and what are you doing as we go into second quarter that maybe different and try a different results for second quarter?
Chris French: Well, that was a multipart question. I will try to answer, if I miss something just ask again, Barry. The cut the billing half promotion on the amount of advertising that Sprint has put around that really did drives to our traffic and we had a lot of folks who came in and as I mentioned, we did have 5% higher for store traffic at a year ago. A lot of the folks came in curious about that promotion, but as we’ve talked about before part one of that promotion is you have to give up your existing phone in order to and then sign-up for easy pay or installments on that. What we find is there is a lot of resistance of customers giving up their phone, because they feel like that’s value that they could sell it to somebody else. Also you have to take exactly the same service if you have, so if you’re getting 2 gigabits of data, you have to stay with 2 gigabits to get the half off and with usage - our data usage going up a lot of folks don’t want to be limited by the plan they were on. They’re kind of looking it for plan with more usage. So it does get people in, they are curious, in the 32 commerce [ph] you really can’t explain all the ramification, so I think it does require a little bit of time with the customer. And as I said, only 6% of our gross ads were people taking the cut your half promotion, so not a big take rate, but what we were able to find in many cases than as resulted in our numbers is that we do have a price plan that does makes sense for them and so we - it does take some time, your comment was suboptimal. With all of the things that are happening in the marketplace right now with a little bit things happening with the phone and with the service pricing, it really has extended the amount of time it requires to meet with the customer in order to sign them up. And so we’ve had to add some additional staffing in our stores in order to do that, because the one thing you don’t want to do is, someone to walk out the door, because they had to wait too long. So I think generally, we’ve been very pleased with the reach in frequency of Sprint’s national advertising, it is significantly higher than it was a year ago. And even though the promotion in enough itself isn’t a big driver of numbers, it has been very effective as far as getting customers in the store. We’re already into May and believe it or not it’s still driving customers into the store. So we’re continuing to have, we always itself like if we having opportunity to talk to the customer, we got a very good chance of closing them. And so we continue to look for ways to get customers in the door. Locally we’re running some promotions on accessories and that sort of thing which help not doing. We haven’t had to do as much promotion advertising with Sprint at high level. So what we’ve been doing locally is continuing to focus on our 4G LTE network which Spring is not doing nationally and has gotten some recent numbers for instance on Net Promoter Score, which shows that our Net Promoter Scores are continuing to rise. So not only it’s the perception good because of the brand type advertise that we doing our customers are giving us higher and higher scores as they’re enjoying the benefits of the upgraded LTE network.
Barry Sine: Okay. I think that covered most of those. In terms of Sprint network quality and if we could talk about how that’s changed and how that is impacted your business in terms of gross ads and in terms of turn. So what I’m asking about is the network quality in both adjacent markets as well in as some of the urban centre like a Washington D.C. where your customers are likely in whelm too. As that materially changed? Is that bit of a negative scale, is it becoming a positive? Where are we?
Earle MacKenzie: It is improving. I won’t say that it’s a positive yet. It’s less of a negative. Sprint is continuing to build out. The real issue is not so much in the urban, urban areas as it is in the between areas, I know we talked about that before, the areas where they’ve leave our area and go into the Sprint area where Sprint has not been as focused, if they have been in the urban areas. It is improving. We have working to do this with Sprint and their engineers to improve the quality of the hand dial [ph] and the areas that are immediately are surrounding us and Sprint has committed to build some additional sell-side as we will continue to augment our network, but I won’t say that it’s changed dramatically, but it has been improved.
Barry Sine: Okay and then kind of a similar question in terms of marketing on the Cable side. Adele Slide 40 shows a $1 million increment and discounts and promos versus year ago. So what were you doing in the quarter that drove the results and or whatever you were doing has that continued in the second quarter?
Earle MacKenzie: Our primary promotion in the first quarter was actually a promotion, it doesn’t cost us anything. We actually offer a discount if you take two and a further discount if you take three services from us. So and it turns out that it is depending on the combination of product. If you take a triple-play from us, basically local phone is free. And so, we actually did our promotion based on our regular everyday pricing, but basically saying buy two get one free. And so, what we saw was a higher percentage of triple-play customers or triple play sales in the first quarter, because customers were taking advantage of that promotion. As we move into the second quarter, we are focusing very heavily on Data or the Internet, that is our primary differentiator between ourselves and being telephone company in that we can offer up to a 400 meg. And so, we continue to focus on that and a combination of new customers and interesting enough the number of customers that are upgrading. We are seeing on an annualized basis about $200,000 a month of upgrade revenue, most of it in Internet as customers continue to move from five to 10, 10 to 15 and up the scale as their data needs change, they need a faster, faster pipe in order to have that good experience in whole.
Barry Sine: Okay, thank you very much, Earle.
Earle MacKenzie: You’re welcome.
Operator: Our next question comes from Kevin Smithen with Macquarie. Your line is now open.
Kevin Smithen: Can you give us an update on the cable sector M&A prospects, what does the Comcast [Indiscernible] mean for the roll cable space? And as regards to video products, it sounds like you’re going to fully pass through video programming cost increases that you willing to tolerate higher churn that they didn’t see it in Q1, but how do you think industry in the raw cable space as looking at video and how much network upgrades are needed in the raw markets for some of your competitors to really support a sustainable broadband growth.
Chris French: Kevin that was even a more complex question than Berry asked. So I’ll try to answer all your questions, but don’t get pieces of it chunky end. As far as acquisition prospects there really is nothing formally on the market right now that we’re aware of. We have continued to talk to our smaller operator neighbors, and that made it clear to them that that we’re interested in continue to expand our footprints especially at the right price. There - I don’t know if any mid-size cable operators that are contemplating our transaction, but we obviously will continue to monitor that. And we continue to being contact with the big guys letting them know that if there are some properties they want to share, we are certainly very interested. As far as the Time Warner, Comcast merger and I think I’ve mentioned before, I still on the Board of the American Cable Association. American Cable Association was not oppose to that merger, but they - we were asking for certain terms and conditions that we protect the small guys, especially on the programming side. So I’m not sure that the merger not happening really has a tremendous impact on the day-to-day operations of small cable operators. It could have had an impact that it happened, I think not happen, I think probably doesn’t have a lot of upside, it just doesn’t have the downside that the merger could have happened. As far as investment, that’s what we’re finding vast majority of smaller cable operators just do not have the accessed capital to do the upgrades that’s required that we’ve done to get to the 100 meg. And even more important Kevin is the access to fiber that middle mile is a real killer for a lot of mid size and smaller cable operators as a fact that we own and operate 4,300 miles of fiber, it gives us that middle mile and we’re able to carry that that traffic at a very reasonable cost. When I talk to my counterparts, who don’t have the fiber backbone that we have, they’re paying a very large percentage of their internet margin or the data margins to that third-party. And so were broadband definitely is kind of the growth business for all of cable operators. If you don’t have an effective contract and a good place on that little mile, it can certainly impact your ability. And in many cases, the small cable operators they have been talk about data cost, they are a lot of small operators that data gaps for a while, simply because they don’t have the amount or capacity in the middle mile. Did I miss anything? I can’t remember here, I think I got…?
Kevin Smithen: No. It’s definitely very helpful. Thank you.
Operator: Our next question comes from David Dixon with FBR. Your line is now open.
David Dixon: Thanks, good morning, Earle.
Earle A. MacKenzie: Hello, how are you?
Adele Skolits: Good morning.
David Dixon: Very good. The first question I had was on the 2016 deployment. The timing of that deployment being set for the second half of the year, was that faster than expected originally we were talking about 2016?
Earle A. MacKenzie: No, we’ve always said that we would be launching a 50 to 75 sites this year. It was just always going to be at the end of this year. We really - even though we’ve continue to have very, very high utilization - at this point, we have had enough capacity to be able to carry it, but we’re looking forward to using as a laser not as a Broadway to identify sites that do have lot high usage and that’s what primarily in our Hagerstown, [Indiscernible] Harrisburg, Harrisonburg, Winchester markets is where we’re going to be deploying those types.
David Dixon: And thanks, and so, I am assuming with this question that you have been predicting some of efforts by [Indiscernible] to move to what was more of into a small cell approach band 41. And I am just curious if you could talk about - one of you could talk about implications if something does make that strategic shift from a network billing standpoint to indoor and what it means for the macro deposit of the Band 41?
Earle A. MacKenzie: Well from our standpoint, we are going to use it on a very limited basis, where we have building that our - we are having difficulty providing great service. And we don’t have any fixed skyscrapers, we don’t have any - for us it is a three or four-story building is a big building. So I think it is a very difficult field for us or a very different utilization for us that it would for Sprint in major metropolitan areas. I can tell you that, Sprint’s - we have inserted some recently in a shopping mall and it has done a great job of improving the quality just because of the construction of the mall inside and it has taken capacity off of the macro cells and surrounded the mall. And so from our standpoint, that was a very good utilization of CapEx in order to improve the customer spirit and experience and to get a better overall network experience, but as far as the same approach that Sprint’s using, it’s not going to be the case, it’s just for a different market.
David Dixon: Okay. And have you been proving to be a good data from Softbank [ph] Earle, have you seen any of that data network performance?
Earle MacKenzie: Well, we have not.
David Dixon: Okay, so I’m just wondering with the network engineer that you have relative to Sprint, does that allow you move forward faster on bulky perhaps than the Sprints plans?
Earle MacKenzie: Yes, I think we could, we’ve looked at it, I’m just not sure that once again we need to do it as quickly, what will be continued to monitor is the customers to LTE capacity bounce [ph] and as you see we’ve already got pretty good penetration already and I think that we will - once we feel like we’ve kind of at that tipping point, I think we can go to [Indiscernible] very quickly.
David Dixon: And if you measure the network performance in terms of being ready [Indiscernible]?
Earle MacKenzie: I think, when we believe that within the 12 months to 18 months where we may start to look at that, we’ll be in great shape.
David Dixon: Okay, great. And then lastly, with [Indiscernible] traffic on LTE, did you mind, I mean how many 3D device since you got left them what the strategy is to get to a 100%?
Earle MacKenzie: Well 80% of our folks have a smartphone and the vast majority of those are LTE capable, so we probably got about 25% of our overall customer base, doesn’t have an LTE phone, I would think that we’ll see the same kind of migration we saw in the 4G WiMax phones, where we can move the vast majority of them in the next 12 to 18 months, but there is always going to be that couple of percentage that we are going to have to drag over the line and once we get to that point we’ll be able to, we’ll have a different strategy on how to deal with those last couple of percentage.
David Dixon: And just a relative, sorry I forget another question here was just with respect to 5 megs and how that compares the competition whether that’s causing any, churn was obviously very good, but whether that’s causing any kind of churn issue in the base level?
Earle MacKenzie: Not - we did - it’s a little dated now, but Root Metrics did a comparison of the system compares for Pennsylvania which is the only market we have, it’s large enough to kind of hit the Root Metrics scoreboard and basically, they gave us a rating that was equal to Verizon. And so, we feel very good about where we are overall.
David Dixon: Okay, great. Thanks very much.
Chris French: You’re welcome.
Operator: [Operator Instructions] Our next question comes from Ric Prentiss with Raymond James. Your line is now open.
Ric Prentiss: Hey guys, one quick follow-up for Chris. Chris in the beginning of the presentation you spoke obviously about your pre-tax little position looking really well. Evaluating ways that people work with strategic first and dividend and debt, but not stock buyback. Given that you’re about the drop under the one turn of leverage zone and Earle’s comments on strategic. It sounds like there is some out there, but nothing internet. And you dividend policy I think it’s still kind of an annual dividend policy. How should we think in this given that your leverage is dropping? Your free cash was getting better. What should we think of as far as the timeline to putting that balance sheet to work?
Chris French: Ric we probably won’t be making any changes mid-year the board will probably assess where we come out towards the end of the year, when we do the annual assessment on declaring the dividend that little bit helped I guess timing wise, because if nothing does materialize on the M&A side, then we’re free to declare the dividend whether that’s raising the regular rate or we always have the option, we could also declare a special dividend if the situation wants it at that time.
Ric Prentiss: Okay, it makes sense. And for the rest of issue you can kind of just see what materializes on the strategic [indiscernible] get the board together and check dividend strategy towards later in the year.
Chris French: Yes.
Ric Prentiss: Great, thanks.
Chris French: Thank you.
Adele Skolits: It looks like that’s all the questions that we have. Thank you participating. Please let me know if there is information you’d like to see us cover in future calls. My contact information was provided on the press release.